Operator: Hello, and welcome to SuRo Capital's Third Quarter 2024 Earnings Call. My name is Melissa, and I will be your coordinator for today's event. Please note, this conference is being recorded and for the duration of the call your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the presentation. [Operator Instructions] I'll now turn the call over to Willie Lee. Please go ahead.
William Lee: Awesome. Thank you. Thank you for joining us on today's call. I'm joined today by Chairman and Chief Executive Officer of SuRo Capital, Mark Klein; and Chief Financial Officer, Allison Green. Please note that a slide presentation corresponding to today's prepared remarks by management is available on our website at www.surocap.com under Investor Relations, Events and Presentations. Today's call is being recorded and broadcast live on our website, www.surocap.com. Replay information is provided in our press release issued today. This call is the property of SuRo Capital and the unauthorized reproduction of this call in any form is strictly prohibited. I would also like to call your attention to customary disclosures in today's earnings press release regarding forward looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance or future financial condition or results and involve a number of risks estimates and uncertainties, including the impact of any market volatility that may be detrimental to our business, our portfolio companies, our industry and the global economy that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including, but not limited to, those described from time to time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of SuRo Capital's latest SEC filings, please visit our website at www.surocap.com or the SEC's website at sec.gov. Now I'd like to turn the call over to Mark Klein.
Mark Klein: Thank you, Willie. Good afternoon, and thank you for joining us. we would like to share the results of SoRo Capital's third quarter 2024. Before discussing the exciting events that have occurred in the past few months, I would like to take a step back and share the SuRo Capital vision and discuss a bit about what differentiates our firm from other investment alternatives. Please turn to Slides 3, 4 and 5. From inception, our goal has been to democratize curated access to venture capital opportunities. Over the last 14 years, we have invested in and exited from investments in companies like Facebook, Twitter, Lyft, Spotify, Dropbox, Corcera and Palantir. We believe our ability to access these opportunities provides our shareholders with access to an asset class that is typically excluded from the average investor. Presently, we are confident that we have redeployed capital into the next wave of exciting private companies with investments in market-leading businesses like OpenAI, CoreWeave, Canva, Service Titan, Loop and Liquid Death to name a few. Between our ability to access attractive opportunities or rigorous analysis and investment process and our continued commitment to shareholder value we are confident that we are providing unique value in the market that others may not. Fostering this differentiation is important given the alternatives investors have. As forwarding to today, the last few months have been among the most exciting for our firm in our history. With the exponential growth of AI, a new crop of some of the world's most valuable companies has emerged. We have identified and invested significant capital in a few of the market's leading players. Just in the second half of 2024, we have invested approximately $65 million into some of the largest and most sought-after private companies globally. Of that amount, we've invested approximately $55 million into artificial intelligent companies. AI investments now represent a significant portion of our portfolio comprising 18% of our gross assets at the quarter's end. Inclusive of the $17 million of investments we have made into AI companies subsequent to quarter end, including vast the percentage of gross assets allocated to AI is approximately 23% of our portfolio. Outside of our portfolio, AI is attracting tremendous venture capital interest. \ According to Crunchbase, funding of AI start-ups made up 31% of the third quarter's total global venture funding, including Open AI's $6.6 billion financing, which closed subsequent to the quarter's end, AI share of total funding amounted to nearly 40%. According to the same source, to give those figures some context, Fintech accounted for about 20% of all venture funding in 2021, while Crypto never reached more than 6% of venture funding even at its peak. During this surge in demand for AI investment, we believe we are highly differentiated on the basis of our AI investment criteria. Unlike many other investors, we have taken a thoroughly intentional approach that prioritizes the industry-agnostic picks and shovels infrastructure with proven traction and scale over the industry-specific applications with unproven product market fit. Of our AI portfolio companies -- our AI portfolio companies are later-stage businesses that have multibillion dollar enterprise customers or already have massive consumer adoption. Looking at the broader portfolio, we have several portfolio companies that are well positioned to drive shareholder value upon the reopening of the IPO market. We believe our late-stage portfolio of companies such as Service Titan, Canva, WOP and Liquid Death, among others, along with our AI portfolio companies create a balanced portfolio offering our shareholders access to some of the most exciting private technology companies ahead of their potential IPOs. Additionally, many of these portfolio companies have even publicly discussed their IPO plans or have been the subject of recent reports about their upcoming IPOs. According to Bloomberg, CoreWeave has hired Morgan Stanley, Goldman Sachs and JPMorgan to lead its planned IPO next year. This follows the information report that CoreWeave is aiming to file confidentially next month. Additionally, according to the information Service Titan may go public as soon as next month after generating approximately $360 million of revenue in the first half of this year. Finally, according to the Times, Lime's CEO, Wayne King said, the company is ready for an IPO under the right market conditions and noted that Lime's bookings grew by 32% and to approximately $600 million last year. I would now like to discuss our recent investments in more detail. We are pleased to announce our significant new and follow-on investments into some of the largest and most compelling AI companies. During the quarter, we made a $17.5 million investment in OpenAI, one of the largest developers of generative AI models for consumers and businesses. Through the Class A interest of our Type 1 Deep Ventures Fund, LLC, a fund whose sole portfolio asset is the convertible equity of open AI. During the quarter and subsequent to quarter's end, we increased our position in CoreWeave, a leading AI cloud computing provider viewing a follow-on secondary investments totaling $10 million. These follow-on investments bring our total capital investment in CoreWeave to $25 million, making CoreWeave the single largest initial investment in our firm's history. Lastly, subject to quarter's end, we made a $12 million investment in VAST, a data management solution for AI developers through the membership interest of IH10 LLC, whose sole portfolio asset is an interest in VAST data's preferred B preferred shares. Together, our investments in OpenAI, CoreWeave and VAST give our investors access to leading AI companies at each point in the AI valuation -- AI value chain. I will discuss these investments in further detail later in my prepared remarks. Turning to our third quarter results. We ended the quarter with a net asset value of $157.4 million or $6.73 per share. Please turn to Slide 6. SuRo's top five positions as of September 30 were CoreWeave, which includes CW opportunity to LP, the CoreWeave SPV and our $5 million follow-on secondary investment in CoreWeave common shares. Learneo, open AI through the ARC Type 1 deep ventures fund, Blink Health and ServiceTitan. These positions accounted for approximately 47% of the investment portfolio at fair value. Additionally, as of September 30, our top 10 positions accounted for approximately 75% of the investment portfolio. As of the quarter's end, our cash available for investment was approximately $32.7 million, representing 14% of our gross assets. Please turn to Slide 7. During the quarter, we made a $17.5 million investment in open AI through our Type D Ventures, a fund whose sole asset was the Class A interest was the convertible equity of OpenAI. OpenAI is a leading developer of generative AI models using deep learning technology. According to Axios, OpenAI's $6.6 billion fundraising in which we participated was the largest venture capital deal of all time. The financing made open AI, one of the most valuable private companies in the world. Open AI offers its models via free and paid plans that suit the needs of consumers, small teams and large organizations. It's fully released flagship models, GPT 4.0 and GPT mini are multimodal, meaning they accept both text and image inputs and output techs. According to a company blog post, these models are part of Open AI's ChatGPT Suite which is used by over 250 million people every week around the world. Additionally, according to the Wall Street Journal, OpenAI has 11 million paying subscribers and approximately one million paying business customers. For consumers ChatGPT can quickly generate text with a human-like understanding of the user's input. For example, a user may prompt ChatGPT to write a cover letter based on the user's imputed work experience or come up with a workout plan based on the user's imputed fitness goals. Within seconds ChatGPT generates a relevant tax response tailored specifically to the user's input. ChatGPT can also summarize more sensitive content such as a research paper or lease agreement, again, extracting details specific to the input. For small teams, ChatGPT acts as an assistant for tasks such as analyzing data, generate code and writing e-mails. For example, the finance department of the small business may prompt ChatGPT to summarize financial data based on an input in Excel spreadsheet. ChatGPT can then visualize the data via chart and generate techs that describes trends in debt over time. Additionally, the engineering team at a startup may prompt ChatGPT to find a bug in a set of code. One month later, ChatGPT can identify the bug, explain the mistake and provide an appropriate correction. For large organizations, ChatGPT provides advanced data analysis capabilities, customized options and large-scale content generation services, all with enterprise-grade security. Klarna, a global leader in consumer payments uses ChatGPT to power multilingual customer services. According to OpenAI blogpost, Klarna AI assistance has 2.3 million conversations representing two third of Klarna's customer service chats. This AI assistance is more accurate and expedient in Klarna's previous solutions leading to a 25% decrease in repeat inquiries in resolutions in less than two minutes on average compared to 11 minutes on average before. According to PitchBook, OpenAI has raised over $21.9 billion in debt and equity financing from investors, including Code 2, NVIDIA and Microsoft, Thrive Capital, Tiger Global and others. We are excited about OpenAI's traction and positioning at the forefront of generative AI development. Please turn to Slide 8. During the third quarter, we made a $5 million follow-on investment in CoreWeaves common shares via a secondary transaction. Subsequent to quarter's end, we made an additional $5 million follow-on investment in CoreWeave Series A shares again via secondary transaction. These investments add to our previously discussed a $15 million investment in CW opportunity to LP, which is investment in CoreWeave's Series C preferred shares, bringing our total investment in CoreWeave to $25 million. CoreWeave is a specialized cloud provider delivering access to NVIDIA GPUs and the fastest cloud computing infrastructure tailored for AI and machine learning. It supports end-to-end AI workflows from model training to deployment by offering distributed clusters powered by NVIDIA's Quantum InfiniBand network solution. With spin-up times as short as five seconds, CoreWeave provides one of the industry's fastest inference solutions using NVIDIA GPUs. According to the company, it's infrasservice is 8 to 10x lesser than those of leading generalized providers. CoreWeave's momentum has accelerated in recent months. According to the Financial Times, it now operates more than 35,000 NVIDIA GPUs making it the largest private operator in North America. Additionally, according to Bloomberg just last month, Cisco invested in CoreWeave as part of a transaction valued at $23 billion. Also last month, CoreWeave announced the close of a $650 million credit facility led by JPMorgan Chase, Goldman Sachs and Morgan Stanley, building on the close of its $7.5 billion credit facility led by Blackstone and Magnetar in late May. Later in the month, Core Scientific, a leader in digital infrastructure for Bitcoin mining announced that CoreWeve exercise its final contract option to deliver approximately 120 megawatts of computing infrastructure to Core Scientific data centers. According to Core Scientific's press release, this contract exercise expands CoreWeave's contract infrastructure to approximately 500 megawatts across 6 core scientific sites. The information reported that Microsoft plans to invest $10 billion between 2023 and the end of the decade to use CoreWeave's data centers. According to the information, Microsoft's contract will be a key driver of CoreWeave's significant revenue growth. According to the information, the estimated revenue for CoreWeave is $500 million for 2023, $2 billion for 2024 and $8 billion for 2025. According to Bloomberg, this scale positions CoreWeave for a major IPO with bankers already hired for 2025 listing. According to PitchBook, CoreWeave raised over $9 billion in debt and equity financing from investors such as CO2, Fidelity, Magnator and more. With its best-in-class cloud infrastructure, we believe CoreWeave will continue its exponential growth and capitalize on accelerated AI adoptions. Please turn to Slide 9. Subsequent to quarter's end, we made a $12 million investment in Fastdata through a membership interest in IH10 LLC, an entity whose sole portfolio asset is interest in VAST Series B preferred shares. VAS Data is a data management solution for leading AI companies. VAS data has emerged to emerge due to an inability of legacy data management solutions to serve customers building complex AI applications. For several decades, enterprise data solutions was built around the concept of tiers, tiered storage is the idea that data is segmented based on its importance to daily operations. An example of segments could be cold, warm, hot and mission critical. However, AI applications need to access to all data at once, rendering the tiered storage system increasingly obsolete. VAST data colapses the tiered storage model by offering all-flash storage, all-flash allows all data in a pipeline as opposed to data in a specific tier to be accessed instantly. This is especially valuable for companies that train AI models to produce outputs as these companies require constant movement of data between back-end systems. As customers scale and face increasingly complex data management needs, VAST data can add nodes to increase connections with a company -- customers data architecture and GPUs to accelerate the production and usage of customer data. Leading companies at the forefront of AI development use VAS data to accelerate their applications. According to a VAS data blocks Pixar, a globally recognized animation studio uses VAS data for its data intensive media productions. For example, in its 2023 film, Elemental, Pixar used this custom edge animation methods that created several times the data for computational demands for data than other previous movies, even during the film's peak rendering usage, VAS Data delivered fast, uninterrupted performance. Pixar continues to use VAS Data to employ new animation techniques using machine learning models for adopted and improved media production. According to vast blog post Zoom, leader in live video conferencing uses VAST Data to assist in training its AI models. On top of its video conferencing interface, Zoom offers AI-powered features such as speech to text transcription and language translation. To build and refine these features, Zoom required a data management solution that could access and retrieve data ensemble. Zoom uses vast data to help process audio efficiently and quickly even in real time during our video conference. Fast data has quickly cemented itself as a dominant AI infrastructure provider. According to a press release at the end of 2023, VAST Data reached over $200 million in ARR. Additionally, the company has been cash flow positive for the last 3 years. According to PitchBook, VAST Data has raised over $390 million in equity financing from investors such as NEA, General Atlantic, TG and others. We believe VAST Data is poised for growth as a leading data management provider for the AI universe. Over the last few months, we've been deliberately focusing on deploying capital into companies offering critical AI infrastructure solutions. Today, with nearly $55 million invested in AI infrastructure we believe our portfolio is well positioned for upside given AI tailwinds. Now I would like to highlight recent developments in our portfolio company, Canva. As previously discussed, Canva is an online productivity design software and collaboration platform with a mission to empower everyone in the world to design. According to a Forbes article as of late October, Canva crossed 200 million active daily users and $2.5 billion in annualized revenue. Additionally, the company reported having completed several transactions at a $32 billion valuation up from the $26 billion valuation it received in its larger company tender in April. As previously discussed, we made our $10 million investment in Canva on similar terms as what was reported in the company tender offer. Finally, Canva continues to gain traction with enterprise companies having added names such as HP and the New York Stock Exchange to its platform. According to PitchBook, Canva has raised over $581 million in equity financing from investors, including Bessemer Venture Partners, General Catalyst, Iconic and others. We are excited about the about Canva's traction and positioning in the market as it expands its enterprise footprint and further captures international markets. Transitioning to our public investments. As previously stated, it is our objective to sell our public positions when lockups, restrictions expire, and there is relative stability in a given public position trading. In line with this approach, we began to monetize our position in Public Square shares as their lack of restrictions expired during the quarter and have continued to do so subsequent to quarter's end. One additional portfolio company we'd like to highlight again is Oklo. Oklo has been very positively received as a public company with stock closing in excess of $26.5 today, more than double where the stock initially listened. As previously discussed, Oklo is a fast-firing clean power company backed by Sam Olman. Oklo is on the cutting edge of nuclear fuel recycling, which has many uses, including the potential to add clean power to AI-related data centers. According to a recent report from the U.S. Department of NG, nuclear power is one of the lowest life cycle emissions of any major Gen of any major generating energy source, providing electricity to the grid with the lowest CO2 emissions per megawatt hour of any currently available technology. Oklo is in the forefront of the small modular nuclear reactor space, which has recently received significant commercial interest. According to an Oklo press release in August, Oklo established a preferred supplier agreement with Siemens Energy, a leading manufacturer of steam turbine generated products and services. This partnership exceeds 1,300 megawatts in nonbinding letters of intent, underscoring Oklo's significant market traction. Additionally, in September, Oklo announced the finalization of an agreement with the U.S. Department of Energy's Idaho operations office. According to Oklo's press release, this agreement gives Oklo access to conduct site investigations as the only advanced formation company with a DOE site use permit. We're excited about Oklo's positioning as a leader as a leading nuclear energy provider as the company continues to expand its commercialization prospects. Finally, we continue to focus on our shareholder-friendly initiatives, including our recently executed note purchase agreement and note repurchase program and the expansion and extension of our share repurchase program. Allison will discuss these initiatives during her prepared remarks in further detail. To conclude my remarks, I want to highlight why I believe this is an exceptionally promising time for our portfolio. Over the past five years, we have made it a priority to share our perspectives on the evolving market cycles and trends. In the middle of 2020, we stated our belief that there would be a significant increase in IPO activity and we were strategically positioned to take advantage of this potential. Throughout 2021, we monetized over $258 million of our portfolio's assets, including 2 substantial monetizations of Palantir and Coursera each exceeding $100 million in net proceeds. We also declared a total of $8 per share for over $212 million in distributions to our shareholders. In 2022, we conveyed our view that the market was a bit overextended prompting us to considerably scale back on our new capital investments. In the subsequent 1.5 years, we had ongoing dialogue with our investors about the disparity between private and public market valuations. And as this year progresses, we have detailed our approach to judiciously deploying our available capital. I am confident that our current positioning is as strong, if not stronger than it was in 2020. We believe that if the market remains robust, the IPO market will reopen. As I discussed earlier in my remarks, we have several investments that could materially benefit from a revitalized IPO market. Given our recent investments and broader portfolio, we believe we are well positioned to drive shareholder return. Thank you for your attention. And with that, I will hand it over to Alison Green, our Chief Financial Officer.
Allison Green: Thank you, Mark. I would like to follow Mark's update with a more detailed review of our financial results as of September 30 and investment activity during the third quarter and subsequent quarter end. Additionally, I'll provide more detail on the 6.5% convertible note purchase agreement and related issuances during the quarter and subsequent to quarter end, and the Board approved 6% notes due 2026 repurchase program. I'll conclude with a brief update on the share repurchase program and our current liquidity. Please turn to Slide 10. As Mark mentioned, during the quarter, we completed a $17.5 million investment in the convertible equity of OpenAI due to Class A interest of ARC Type One Deep Ventures Fund LLC, a fund who sold portfolio asset for Class A interest holders is the convertible equity of OpenAI. We also made a $5 million investment in CoreWeave's common shares via a secondary transaction. Subsequent to quarter end, we made an additional $5 million investment in CoreWeave Series A preferred shares via a secondary transaction and a $12 million investment in VAST data through our investment in the membership interest of IH10 LLC, an entity whose sole portfolio asset is the series preferred shares of VAST Data through an SPV. Please turn to Slide 11. During the third quarter, we began to sell our public common shares of Public Square following their lockup expiration on July 19. We sold 3,59,845 shares of Public Square for approximately $1 million in proceeds resulting in a realized gain of approximately $732,000. Additionally, we sold our entire remaining position in One Valley Inc., formally known as NGS, resulting in net proceeds of $3 million and a realized loss of approximately $6.6 million. During the quarter, we also exited our position in STBRx, formerly known as GSV Sustainability Partners upon the dissolution of the business for which we received a final distribution of approximately $375,000, resulting in a realized loss of approximately $6.8 million. Finally, during the third quarter, we wrote off our investment in Churchill Sponsor 7 and UBET technology doing business with Sanpower upon each of those companies to solutions. Subsequent to quarter end, we continue to sell our public common shares in Public Square. So far in Q4, we have sold 822,305 shares of Public Square for approximately $2.5 million in net proceeds and a resulting realized gain of approximately $1.8 million. Please turn to Slide 12. We I'd like to provide more detail on the note repurchase program for the 6% notes due 2026 and executed note purchase agreement for 6.5% convertible notes due 2029. On August 6, SuRo Capital's Board of Directors approved a discretionary note repurchase program, which allows the company to repurchase up to 46.67% or $35 million in aggregate principal amount of our 6% notes due 2026 and through open market purchases, including block purchases and such manners will comply with the provisions of the Investment Company Act of 1940 as amended and Securities Exchange Act of 1934 as amended. As of September 30, we had repurchased 1,010,136 of the 6% notes under the note repurchase program. Subsequent to quarter end through today, we repurchased an additional 2,01,446 of the 6% notes under the note repurchase program. Today, under the note repurchase program, we have repurchased a total of 1,211,582, or approximately $30.3 million principal amount of the publicly traded 6% notes for approximately $30 million. The aggregate principal dollar amount of 6% notes that may be repurchased by SuRo Capital under the note repurchase program is approximately $4.7 million. Now moving on to the 6.5% convertible note issuance. On August 6, SuRo Capital entered into a note purchase agreement by and between the company and a private issuer for some of which we may issue up to a maximum of $75 million in aggregate principal amount of 6.5% convertible notes due 2029. Pursuant to the note purchase agreement, on August 14, we issued and sold in the purchase of purchase, $25 million in aggregate principal amount of the convertible notes. Under the note purchase agreement upon mutual agreement between the company and the purchaser, we may issue an additional -- we may issue additional convertible notes for sale and subsequent offerings to the purchaser or issue additional notes with modified pricing terms, in the aggregate for both the additional notes and the new notes up to a maximum of $50 million in one or more private offerings. Interest on the 6.5% convertible notes due 2029, will be paid quarterly in arrears on March 30, June 30, September 30 and December 30 at a rate of 6.5% per year beginning September 30 of this year. The convertible notes will mature on August 14, 2029, and may be redeemed in whole or in part at any time or from time to time at our option on or after August 6, 2027, upon the fulfillment of certain conditions. The 6.5% convertible notes will be convertible into shares of our common stock at the purchaser sold discussion at an initial conversion rate of approximately 129 shares of our common stock for $1,000 principal amount of the convertible notes subject to adjustments and limitations as provided in the note purchase agreement. The net proceeds from the offering of convertible notes will be used to repay outstanding indebtedness, make investments in accordance with our investment objective and investment strategy and for other general corporate purposes. Note purchase agreement includes customary representations, warranties and covenants by the company. Subsequent to quarter end, pursuant to a no-purchase agreement on October 9, we issued and sold in the purchase or purchased $5 million in aggregate principal amount of additional 6.5% convertible notes. The additional convertible notes are treated as a single series to be initial notes and have the same terms as the initial notes. The additional notes are fungible and ranked equally with the initial notes. Upon issuance of the additional notes, the outstanding higher principal amount of the 6.5% convertible notes due 2029 became $30 million. Please turn to Slide 13. This quarter, we reevaluated the investment gains used to categorize the portfolio by industry to more appropriately capture our current portfolio as it has evolved since the themes were initially introduced. As a result, the 6 former investment themes, education technology, big data cloud AI marketplaces, financial technology, social mobile and sustainability were placed to present a more accurate reflection of our portfolio. The new investment themes are artificial intelligence infrastructure and applications, Software as a Service, education technology, consumer goods and services, logistics and supply chain, financial technology and services and [indiscernible]. Segmented by 7 general investment themes, the top allocation of our investment portfolio at quarter end was to Software as a Service, representing approximately 26% of the investment portfolio at fair value. Artificial intelligence infrastructure and applications and consumer goods and services were the next largest categories of approximately 21% and 16% of our portfolio, respectively. Approximately 15% of our portfolio was invested in education technology companies and the logistics and supply chain category accounted for approximately 11% of the fair value of our portfolio. Financial Technology and services accounted for 9% of the fair value of our portfolio and SuRo Sports accounted for 2% as of September 30. Please turn to Slide 14. We ended the third quarter 2024 with an NAV per share of $6.73, which is consistent with our financial reporting. The decrease in NAV per share from $6.94 at Q2 to $6.73 months as of September 30 was primarily driven by a $0.59 per share decrease resulting from the net realised or portfolio investments during the quarter. a $0.14 per share decrease due to net investment loss and a $0.01 per share decrease due to realized loss on the partial repurchase of our 6% notes due 2026. The decrease in NAV per share was partially offset by a $0.50 per share increase from the net change in unrealized appreciation of our investments and a $0.03 per share increase from the impact of stock-based compensation during the quarter. I'd like to conclude with some notes on our share repurchase program and our liquidity as of quarter end. As Mark mentioned earlier, SuRo Capital is committed to initiatives that enhance shareholder value. Accordingly, on October 29, our Board of Directors authorized a $4.3 million expansion to the share repurchase program to $64.3 million and an extension of the share repurchase program through October 31, 2025. Since the inception of the share repurchase program in August 2017, we have repurchased a total over 6 million shares of our common stock for a total deployment of approximately $39.3 million of the $64.3 million authorized by the Board. Approximately $25 million remains authorized under the share repurchase program that is now set to expire on October 31, 2025. Regarding our liquidity as of quarter end, we ended the quarter with approximately $39.5 million of liquid assets, including approximately $32.7 million in cash and approximately $6.7 million in unrestricted public securities, the $1.4 million of public securities subject to lockup restrictions at the quarter end was not included in this balance. At September 30, and as of today, there are 23,378,0002 shares of the company's common stock outstanding. That concludes my comments. We would like to thank you for your interest and support of SuRo Capital. Now I will turn the call over to the operator for the start of the Q&A session. Operator?
Operator: [Operator Instructions]. We have no questions in the queue, I would like to turn it back over to your host for any closing remarks.
 :
 :
Mark Klein: Thank you all for attending our Q3 call. We appreciate your interest and support. And if you have any further questions, feel free to reach out directly through our IR portal. Thank you all very much.
Operator: Thank you very much. Once again, that does conclude today's conference. You may now disconnect.